Operator: Good morning ladies and gentleman, and thank you for standing by. Welcome to the Group 1 Automotive first quarter earnings conference call. (Operator Instructions) I would now like to turn the conference to Peter DeLongchamps Vice President of Manufacture Relations and Public Affairs. Please go ahead Sir.
Peter DeLongchamps: Thank you Eric and good morning everyone and welcome to the Group 1 Automotive 2008 first quarter conference call. Before we begin I would like to make some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Security Litigation Reform Act of 1995. Forward-looking statements involved both of known and unknown risks and uncertainties which may cause the company’s actual results in future periods to differ materially from forecasted results. Those risks include but are not limited to risk associated with pricing, volume and the conditions of the market. Those and other risks are described in the company’s filings with the Securities and Exchange Commission over the past 12 months. Copies of these filings are available from both the SEC and the company. In addition certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. I will now turn the call over to our President and Chief Executive Officer of Group 1 Automotive Mr. Earl Hesterberg.
Earl Hesterberg: Thank you, Pete. Good morning everyone and welcome to Group 1 Automotive 2008 first quarter conference call. In a minute I’ll turn the call over to John Rickel to get you detailed financial results for the first quarter. After he has finished I’ll provide a brief summary and then open up the call for questions. Let me begin by telling you what we observed during the quarter. As we anticipated the new vehicle sales environment remained challenging during the first quarter. The macroeconomic conditions including high gasoline prices and issues surrounding the housing market continued to negatively impact consumer confidence. This is translating into less consumer traffic on our dealership slots particularly as related to our truck sales. The total market slow down will stop more of our dealerships in California and Florida. All over all traffic remains stronger in our Texas stores where the oil and gas industry is doing very well. We continue to see a significant shift in customer preferences from trucks to cars with our car mix increasing 3 to 4 percentage points from the first quarter of last year to just under 55% of our sales this quarter. As a result we have seen larger sales declines in the brands that are more dependent on truck sales such as Chevrolet, Dodge and Ford. Acceleration of the shift negatively impacted our inventory levels which I will cover in more detail in a moment. The resale value of trucks also continue to decline throughout the quarter which made it difficult for truck customers to trade out for any type of vehicle; car or truck, new or used. On the used vehicle side we continued to reduce our low margin whole sale business as planned while increasing our retail unit sales and revenues; the place that we were able to improve our volume although our overall used vehicle margins were down due to the current used vehicle market conditions. We continue to see the higher margin used truck sales impacted due to some of the same macro economic conditions affecting the new vehicle market including high gasoline prices and housing slowdowns. In addition we also started to see some tightening on used vehicle financing terms. Our lenders have been increasing their stipulations requiring larger down payments and more importantly they have reduced loan to value levels. Net reduction has been most impactful on customers trading in units or on negative equity positions as it limits some of our flexibility. We are still able to get these customers finance but in some instances it is affecting our margins. In the businesses where we have more control, parts and service and finance and insurance our focus coupled with the strategic initiatives we have implemented have continued to deliver improved results. For the first quarter of 2008 net income was $16.4 million or $0.73 per diluted share compared with net income of $17.4 million or $0.72 per diluted share in the prior year period. As we reported last year the 2007 first quarter results included a $0.10 per diluted share charge associated with lease termination charges incurred primarily in conjunction with the disposal of an underperforming dealership. On a same store basis total revenues were down 3.8% due to the previously mentioned brand and macro economic factors, as well as the intended reductions in used vehicle whole sale sales. In vehicle and wholesale used vehicle revenues declined 7% and 13.5% respectively. These declines are partially offset by revenue increases in our retail used vehicle business of 2.3%, parts and service of 4.6% and finance and insurance where revenues were up 4.9%. On a special note our customer base service business was up 7.8% on a same store basis. The improvements we made during the last few quarters in our finance and insurance business continued into the first quarter of 2008, but we realized a $117.00 improvement to $1165.00 per retail units on the same store basis. Our overall same store gross margin increased 40 basis points to 16.6% reflecting the 120 basis point gross margin improvement in our parts and services business and the previously mentioned profit improvements in F&I that were partially offset by the decline in our new and used vehicle business margins. Same store SG&A expenses fell $900,000 or 0.5% in the first quarter to $187.8 million reflecting improvements in advertising and personal cost. This improvement in expense was more than offset by the gross profit decline resulting in a 90 basis point increase in SG&A as a percent of gross profit to 79%. Turing to brand mix, during the first quarter Toyota, Sion and Lexus continued to lead with new vehicle unit sales of 34.4%. Nissan infinity moved into second with 13% pumping Honda acquiring the third with 12.8% of the unit sales. Ford remained in forth at 11.7% down a 160 basis points from the prior year period. Grounding out of the mix was Chrysler with 7.3%, BMW mini with 7.1%, GM with 5.6% and Mercedes with 5.4% of new vehicle unit sales. BMW Mini and Mercedes are the largest year-over-year growth with 150 and 220 basis point increases respectively. Our important luxury branch grew to account for 77.7% of our new vehicle unit sales up from 74.2% in the first quarter of 2007. On the acquisition in this position front as we announced earlier in the year we anticipate acquiring approximately $300 million and estimated annual revenues during 2008. Toward this target we opened our smart car dealership in Beverley Hills with $9.5 million of estimated annual revenues in January. We did not dispose of any franchises during the first quarter. We will continue to evaluate our dealership portfolio and disposed of under performing stores. In conjunction with the strategy we anticipate incurring between $10 million to $15 million in potential extra charges and related to cost in 2008. Now a word about inventories. Overall our inventories were adversely impacted as sales continued to weaken in the first quarter and the mix shifted further from trucks to cars. The slowdown in the industry significantly impacted our domestic new vehicle inventory to levels well above our 75 day target. While our Ford inventory improved by 11 days to 94 days supply from the previous quarter, our GM and Chrysler inventories grew to 122 and 111 day supply from the fourth quarter levels of 99 and 78 day supply respectively. These levels contributed to our domestic inventory growing 15 days from the fourth quarter of 2007 and 42 days from the prior year quarter to 111 day supply. The slowdown also affected the inventories of our important luxury brands. Import inventory grew four days from the fourth quarter and five days from the first quarter of 2007 to a 63 day supply. Luxury inventory at 51 days was up 12 days from the fourth quarter and 11 days from the prior year quarter, but note our Toyota inventory grew to 57 days from 44 days last quarter and Mercedes Bend inventory were up 18 days from fourth quarter. As a result, our total new vehicle inventory at March 31 increased 8 days from the fourth quarter and 14 days from the first quarter of 2007 to a 71 day supply. A major factor contributing to this increase was our car and truck mix and domestic import and luxury brands alike. Our overall new truck inventory grew 20 days from the fourth quarter and 31 days from the prior year period, while our new car inventory held at 57 days from the fourth quarter and was up only one day from the first quarter of 2007. Clearly we need to significantly reduce our truck inventory in the second quarter. Noting our used vehicle inventory, our supplied used vehicles at quarter end decreased 6 days to 29 days from the first quarter of 2007 and increased 1 day from the first quarter of 2007. Even though we ended up a bit below our 37 day supply target, we are satisfied at this level given the current environment. I will now ask John to go over our financial results in more detail, John.
John Rickel: Thank you Earl and good morning everyone. For the first quarter of 2008, our net income was $16.4 million or $0.73 per diluted share. Our 2007 results included $2.5 million or $0.10 per diluted share of after tax charges related to least terminations, so on a comparable basis, our net income for the first quarter of 2008 declined $3.5 million or 17.8% from the same period in 2007 and earnings per diluted share decline 11%. Our first quarter consolidated total revenue of $1.53 billion improved to $6.7 million compared to the same period a year ago. This overall improvement reflects increases of 7.5% in our retail used vehicle business, 10.1% in our parts and service business and 6.4% in our financial insurance business. Partial offsetting these improvements were declines in our new vehicle and wholesale used vehicle business of 3.2% and 8.1% respectively. Our consolidating gross margin of 16.5% improved 13 basis points from the first quarter of 2007 as a result of the shift in revenue makes on a year-over-year basis towards our higher margin segments. In addition, our parts and service margins improved 120 basis points while lower margins in our new and used vehicle businesses of 50 and 130 basis points respectively were partial offset. On a consolidated basis our SG&A expense as a percent a gross profit declined 100 basis points from 80.2% in the first quarter of 2007 to 79.2% in 2008, primarily as a result of the non-repeating lease termination charges in 2007 and decreases in our consolidated advertising costs. Consolidated floor plan interest expense increased four tenths of a percent in the first quarter of 2008 as compared with the same period a year ago. This increase was primarily attributable to a $93.8 million increase and our weighted average borrowings reflecting the higher inventory levels that Earl previously discussed. 174 basis point declined in our awaited average floor plan interest rate provided the substantial offset. Other interest expense increase $3.2 million to $8.4 million for the first quarter of 2008 as our weighted average borrowings of other debt increased $247.1 million from the same period a year ago. This primarily reflects the remaining $65 million balance outstanding under the acquisition line of our credit facility that we paid down $70 million of borrowings during the quarter and the $177.5 million outstanding in our mortgage facility as of March 31, 2008. The increase in interest expense from the mortgage facility and acquisition line it was partially offset by the impact of a lower outstanding balance on our eight and a quarter senior subordinated notes as we have redeemed $55.1 million of these notes since the third quarter of 2007. The outstanding balance due on our eight and a quarter senior subordinated notes as of March 31, 2008 was $82.1 million. Manufactures interest assistance which we recorded as a reduction of new vehicle cost of sales at the time the vehicles are sold, the 64.8% of total floor plan interest cost for the first quarter of 2008 and 940 basis point decline in the first quarter a year ago. This decline stems primarily from the impact of our $500 million of fixed rates slots that we had in placed at March 31 at a weighted average interest rate of 4.8%. We reflect the monthly contract settlement of these slots as a component of floor plan interest expense. Turning now to same store results, in the first quarter we had revenues of $1.4 billion which is a 3.8% declined from the same period a year ago. Same store new vehicle sales declined 7% in the first quarter of 2008 partially offset by improvements in retail used vehicles sales at 2.3%, strong growths in our parts and service revenues of 4.6% and higher F&I revenues of 4.9%. Our same store new vehicle sales declined $63.9 million as continued soft economic conditions in our Californian and Florida markets were coupled with lower demand for truck and other less fuel efficient vehicles. Overall our same-store unit sales of trucks declined 13% from the first quarter of 2007 while our car sales declined 5%. As a result the truck heavy domestic lines were down 15.3% in the first quarter of 2008, while our import and luxury brand sales decreased 4.8% and 3.2% respectively. We believe that our results are generally consistent with the retail performance of the brands that we represent and the markets that we serve. We continue to focus on improving our used vehicle business utilizing technology to enhance our selling and inventory management processes. As a result our used vehicle business mix continues to shift towards used retail sales and away from less profitable wholesale sales. For the quarter our retail used vehicles sales improved 2.3% or $6.6 million. The wholesale used vehicle sales declined $9.8 million or 13.5%. Our focus on fixed operations has begun to pay dividends with revenues $7.2 million or 4.6% in the first quarter of 2008. The increase was made up of a 7.8% increase in customer pay parts and service business and a 3.3% increase in our wholesale parts business, while our warranty related sales were consistent with 2007 levels. Despite a tougher financial environment and lower volumes our same-store F&I revenues increased $2.4 million to $52.3 million in the first quarter of 2008. We experienced higher penetration rates in each segment of this business and our vehicle service contract and insurance offering’s continued to reap the benefit of an improved cost structure. Our F&I gross profit per retail unit improved a $117 per unit in the first quarter of 2008 to $1,165 per unit, an increase of 11.7%. Overall our same-store gross margins improved 40 basis points, to 16.6%, reflecting a favorable business mix and a 120 basis point increase in our parts and service margin, virtually offset by declines of 50 and 110 basis points in our same-store new and used businesses respectively. In the new vehicle side the decline in our higher margin new truck sales has negatively impacted our same-store new vehicle margins. Same-store margins improved in our luxury lines, the declines in domestic and import margins more than offset this improvement. The margin pressure felt in our new vehicle business was also felt in our used vehicle business. In addition to the impact of the shifting customer preference away from trucks that I just covered in new vehicle sales, a tougher financing environment with a reduced loan to value ratio negatively impacted our used vehicle margins. This is particularly true with customer’s trading in full size trucks and SUV’s that were upside down on their loans. Our overall parts and service gross margins improved 120 basis points as our initiatives for growing the higher margin portions of our parts and service business have started to gain traction. We realized an increase in our customer pay parts and service margin as key initiatives including the negotiation of the national oil contract, improve the cost structure of this segment of business. Same-store SG&A declined 0.5% to $187.8 million in the first quarter of 2008. While we continue to make progress on right sizing our company in the declining sales environment as well as continuing to take advantage of our size and negotiating leverage, we did not fully offset the decline in gross profit that we experienced this quarter. As a percent of gross profit same-store SG&A increased 90 basis points in the first quarter of 2008 of 79% reflecting that 1.7% decrease in gross profit. Same store floor plan interest expense declined 2.8% with $333,000 to a $11.5 million in the quarter as the savings from the 192 basis point decline in floor plan weighted average interest rates was partially offset by an increasing in our weighted average borrowings of $113 million reflecting the higher inventory levels previously mentioned. Now turning to liquidity and capital structure; we continue to execute on our share view of only in the real estate associated with our dealership operations. As a result we purchased real estate, associated with several dealership facilities late in the fourth quarter of 2007 and during the first quarter of 2008. To fund these purchases we drew an additional $47.8 million down on our mortgage facility during the first quarter. Borrowings on this facility as of March 31, 2008 totaled $177.5 million with $55.7 million available for future bonds. In addition we borrowed $18.7 million through a separate financing arrangement to fund the purchase of other dealership related real estate. In total we earned approximately $341.1 million of land and buildings at the end of the quarter. We expect to continue to strategically acquire real estate associated with our dealerships. We had a $20.4 million of cash on the end as of March 31, 2008. In addition to our cash on hand we use our floor plan offset account to temporarily invest excess cash. The immediately available funds totaled $52.3 million as of quarter end. As anticipated we repaid $70 million of the outstanding borrowings on our $350 million acquisition line during the quarter leaving the outstanding borrowings of $65 million at March 31, 2008. This gives us $285 million of available borrowing capacity under this facility. Our total long term debt capitalization ratio excluding real estate debt totaled 41% at March 31, 2008. This was down from 45% at December 31, 2007 primarily as a result of the $70 million of pay downs on the acquisition line that I mentioned earlier in the repurchase of $18.6 million of our 8.15 quarter senior subordinated notes. This debt to cap ratio continues to be slightly higher than our target level of approximate 40%. However we anticipate the ratio will continue to decline over the next few quarters as we further pay down our acquisition line borrowings. The amount available for restricted payments under our 8.15 senior subordinated notes governance increased $18.2 million at quarter end. As our mortgage debt continues to increase we are continuing to fix our floating debt during the quarter and earning into an additional full year interest rate swap to $25 million. This brings the aggregate amount of our swaps to $500 million at a weighted average rate of 4.8%. With regards to our capital expenditures for the quarter, we used $11.3 million to purchase property and equipment which now excludes the purchase of land and existing buildings. We continue to expect that our capital expenditures excluding the purchase of land and existing buildings will be approximately $60 million for 2008. For additional detail regarding our financial condition please refer to the schedules of additional information attached to the news release as well as the investor presentation posted on our website. With that I will now turn it back over to Earl.
Earl Hesterberg : We are not changing our outlook or guidance for the balance of 2008 at this time. Although we executed recently well in the first quarter, new vehicle sales continued to weaken throughout the first quarter in key economic parameters such as [inaudible] continued to deteriorate. Given this background we are reaffirming our 2008 full year earnings guidance at a range of $2.95 to $3.25 per diluted share. Guidance continues to be based on the following assumptions; industry sales of 15 million to 15.5 million units, same store revenues 3% to 5% lower, SG&A expense as a percent of gross profit at 78% to 79% excluding any one time items as lowered sales revenues are expected to offset cost improvements, LIBOR interest rates at 3.5% throughout 2008, the tax rate of 38% and an estimated average of 22.5 million diluted shares outstanding. Guidance excludes any future acquisitions and dispositions as well as the potential related one time cost estimated to $10 million to $15 million. That concludes our prepared remarks. In a moment we will open the call up for Q&A. Joining me on the call today are John Rickel our Senior Vice President and Chief Financial Officer; Randy Callison our Senior Vice President of Operations and Corporate Development; Peter DeLongchamps our Vice President of Manufacturer Relations and Public Affairs and Lance Parker our Vice President and Corporate Controller. I will now turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: (Operator Instructions) Our first question comes from John Murphy with Merrill Lynch. Please go ahead.
John Murphy - Merrill Lynch: Good morning guys.
Earl Hesterberg: Good morning John.
John Murphy - Merrill Lynch: Just wondering on SG&A, you guys really attaching up to the weakening sales environment on the new vehicle side on SG&A. Just wondering how far long you think you are in cutting those costs, if there’s more opportunities in the near term on available side or even on the fixed side, just really where you stand on that?
Earl Hesterberg: John this is Earl. There is more opportunity for us. Obviously the concern is can we realize that opportunity faster than sales or margins drop. In new vehicle margins, the 6.4% is lower than we would have anticipated at a short time ago. I am hoping we are getting near the bottom on margins but as we look at the inventory pressure, our inventories are too high but I don’t think we are the only one that has inventory too high, that continues to put pressure on margins, but clearly there is more cost we have to get after and we are working to do that. We are not finished with the cost yet.
John Murphy -Merrill Lynch: And just to follow up on the new vehicle margins. I mean with these day supply numbers going through, not through the roof, but actually fairly high, are you seeing pricing discipline erode among the manufacturers. I mean for a while we started to see a little bit of relative discipline, but with that starting to reverse course and if there is any auto makers that are specifically getting out of hand if you could call them out, that would be great.
Earl Hesterberg: Sorry, John. Is your question about discipline on incentives or discipline on manufacturing levels, production levels?
John Murphy -Merrill Lynch: On the actual incentives, on the pricing themselves.
Earl Hesterberg: There are some manufacturers that I think have held back so much and I am thinking of General Motors right off the top of my head that is actually I think put them in a competitive disadvantage in a weak market. Whereas Ford -- I think a year ago we were concerned Ford wasn’t playing hard, well Ford is playing hard now and relatively speaking at least particularly in Texas, Oklahoma our markets -- not saying Ford’s doing great but they are certainly on a competitive view point. They are fighting harder for their share of a weak market and then there are the two domestic counterparts at the moment. So, there is a difference right now in how some of the manufacturers are attacking the market with incentives.
John Murphy -Merrill Lynch: And is that into the new vehicle margins or are you seeing just increased competition in your local market areas.
Earl Hesterberg: To me the new vehicle margins, I am going to led Randy add his view point here when I finish. It’s just the lack of traffic and the inventory pressure; a combination of those two things. There is less people out in the show room and dealers particularly, big strong dealers like us and the other companies you follow and we need to keep moving metal and for us and for the manufacturer, so it’s just less customers and plenty of units on the ground that need to be sold. That’s driving the margins down. Randy do you want to add anything to that?
Randy Callison: Yes, this is Randy. I think it’s primarily a traffic issue but also as people come in with trades and those trades aren't worth like what they were a couple of months ago and probably not quiet what the customer thinks they were, that puts a lot of pressure on new car margins.
John Murphy -Merrill Lynch: And then lastly John just on the mortgage facility it looks like you are doing a pretty job of utilizing that and using it up to this point. Is there any potential to upsize that and is there room -- are you finding availability to potentially upsize that if you do to or would like to.
John Rickel: Yeah John, this is John Rickel. We are all pleased with how we’ve been able to put that facility in place and how are using it. I don’t know that there is specific capacity around that facility but we are in discussions about increasing capacity through other means and confident that we will be able to continue to define funding sources to real estate to make sense.
John Murphy -Merrill Lynch: Thanks and then just lastly on the very valuable range of the 295 to 325, is that really just the range on your sales estimates or is there anything else, any other major factors that we should -- swing factors we should be thinking about there from the top to the bottom of the range.
John Rickel: Yeah John, this is John Rickel again. I’d say that the biggest single factor is the sales environment. Obviously we’ve got some other ranges within there, but a lot of extra things down out of what happens with the top line.
John Murphy -Merrill Lynch: Great. Thank you very much.
John Rickel: Thank you.
Operator: Our next question comes from Edward Yruma with J.P. Morgan. Please go ahead.
Edward Yruma - J.P. Morgan: Hi good morning and thanks for taking question. I wanted to ask a little bit around the inventory levels and your ability to work those down without significant discounts? Have you slowed down your ordering with the OEM’s and how centralized is your inventory management now versus may be this time last year?
Earl Hesterberg: Your first questions answer is, yes. We are becoming very conservative on our inventory ordering. We are still not centralized in the East end, but we do participate strongly in the ordering of inventory. We clearly have some work to do primarily in the truck area but we are very focused on it.
Edward Yruma - J.P. Morgan: Got you and as you look at the strong increases in FIPVI, I know that at some point this year, given a lot more difficult comparisons particularly with the new contracts when do you lap those comparisons and how sustainable is this level of growth?
John Rickel: Edward this is John Rickel. Basically we start to run into the lap in the third quarter. We made most of those changes starting kind of June, July, so it really shows up third quarter. We think the absolute levels are certainly sustainable and may be even still some further upside to it, but yeah, the comparison certainly get a little more difficult in the second half.
Edward Yruma - J.P. Morgan: Got you and the final question around availability; I know that you talked about may be more stringent terms of free consumers, have you been able to expand you lender base to try to service as more marginal consumers or is credit availability just not there. Thank you.
John Rickel: Edward this is John Rickel again. We’ve got plenty of lenders what we deal with. As a matter of fact we’ve been going a bit the other way of trying to concentrate volume and really concentrate on relationships. One of the things in this environment that really is important is good deep relationships with your lenders to the extent they have only got a certain amount of credit to pass out and you want to be one of their primary customers and somebody that they are really stepping up to support, so we are comfortable that we got an appropriate spread of lenders, the relationships that we have are good and really are not having problems getting the customers but the conditions and the stipulations may be a little tighter, but the overall ability to get them financed is still very much in place.
Edward Yruma - J.P. Morgan: Alright thank you very much.
Operator: Our next question comes from Scott Stember with Sidoti and the company. Please go ahead.
Scott Stember –Sidoti & Co.: Good morning gentleman.
Earl Hesterberg: Good morning Scott.
Scott Stember –Sidoti & Co.: Talking about the parts and service, obviously the customer phase side of the business is something that’s definitely helping you. Could you talk about how far long we are? How many of your dealerships are using these new processes and are we just stepping at the tip of the iceberg here?
Earl Hesterberg: Scott this is Earl. We are maybe half way through it. This is a slower moving business as most of you know than the new and used vehicles where you can quickly implement changes. One of the reasons we continue to shift our brand mix obviously is because of the growing units in operation that they have for a decade or more in the import luxury brands, but also just -- we have expanded our capacity, we have tried to become more process oriented, we probably marketed more aggressively trying to use some more of the electronic marketing media available to us because we know who our potential customers are in service, invested some money also in our parts whole selling operation in Oklahoma city. So we are well a year or so into this mission of really putting a lot of focus and more professional talent against it, so there is a lot of more upside for us in this but I think this is the first time that we have really seen some of the numbers show through and I think the weak sales environment kind of spotlights that a bit more.
Scott Stember –Sidoti & Co.: Were there any particular brands which you excel on the customer phase side or is this starting to feather out most of our brands now?
Earl Hesterberg: No, but clearly by being 35% Toyota we are -- and the new technique is on in Honda, that’s over half of our business. That where the huge units in operation are and so that’s where we get the most leverage.
Scott Stember –Sidoti & Co.: Okay and on the acquisition front with the market continuing to weaken on the new car side are you starting to finally see the asking prices for some of these dealerships come down or are we still in the rational level?
Earl Hesterberg: No, we have not seen the asking prices come down. Still what I would consider to be an irrational level generally speaking and I think Companies like ours will have to be much more careful in this type of environment until we see how things play out, but no -- still your valuable import and luxury franchise have unrealistic asking prices generally speaking.
Scott Stember - Sidoti & Co.: Right and just last question on California. We at the point here where we are trying to see the counts get a little bit easier or going forward from here or are we still looking at some difficult times ahead?
Earl Hesterberg: Quite frankly, Scott, I was shocked. I had thought that the California market had stabilized during the second half of last year, not necessarily at a good level but it seemed that it had found a level and then in the first quarter of this year, I think you probably heard about this from some of our competitors who do a lot of business in California, at least I mean the other companies in our sector. I mean the bottom fell out again in the first quarter. I saw some data yesterday from one of the manufacturers that showed Honda sales down around 10% in the first quarter, Toyota between 13% and 14%, and Nissan down 20% in the first quarter in California and those three brands are the California market as far as we are concerned anyway and so, something happened in California in the first quarter that was of a different magnitude than what we saw during much of last year and much of last year wasn’t that good. So I think we still have to be cautious about California.
Scott Stember - Sidoti & Co.: Alright just a follow-up to that. Is it fair to characterize that you outperformed the market in California in the quarter?
Earl Hesterberg: I wouldn’t say we necessarily outperformed the market because we have three Toyota dealerships in California, two Nissan, Infiniti two, Honda, so I don’t know that we necessarily outperformed the market. We may have in parts and service and F&I but it was no better for outside in the first quarter than it was for anyone else, I don’t think generally speaking.
Scott Stember - Sidoti & Co.: All right. Thank you for taking my questions.
Operator: Our next question comes from Darren Kennedy with Goldman Sachs. Please go ahead.
Darren Kennedy - Goldman Sachs: Hi. I’m [Inaudible] how are you? I’m calling -- I’m actually asking about March trends. I don’t know if there was any distinctive difference through the quarter and I don’t think any of your competitors had anything encouraging to say about April. I was wonder if you can comment.
Earl Hesterberg: The only thing I would say is that on the new vehicle side and that’s 62% of our revenue. Each succeeding month this year, the new vehicle market has gotten noticeably weaker. I don’t have April data for our Company yet. I obviously have some mid-month data and such but I looked at some of the April forecast from analysts who are probably on the phone here and they certainly are predicting anything better in April and we just didn’t see anything but weakening new vehicle trends in February and then March. So I don’t think that we -- the best we probably hope to stay flat right now on the new vehicle market.
Darren Kennedy - Goldman Sachs: And -- the other thing about stability I am wondering if things are getting incrementally tighter or in conditions where the lender are sound and you come to a level in terms of all these new extensions, value reductions.
John Rickel: Yeah, this is John Rickel. I think this may be starting to get to a level that they are comfortable with. We haven’t seen a whole lot of additional tightening over kind of the last month or so. So maybe knock on wood a bit but we think maybe this is starting to get to a level that they are comfortable with.
Darren Kennedy - Goldman Sachs: And my final question has to do with -- truck demand has been really weak and [inaudible] with inventory, the OEMs -- are they overstocked in stock and pushing that on you. How would you address that?
Randy Callison: This is Randy. We are definitely overstocked on trucks, so they can push all they want to. We have plenty. They are a little high obviously.
Darren Kennedy - Goldman Sachs: But they achieved [inaudible] incentives in anyway?
Randy Callison: I'm sorry?
Darren Kennedy - Goldman Sachs: Are they reducing incentives or planning to -- I mean what do you think your strategy is for that?
Randy Callison: This is Randy again. I think they are going to have to have to. Earl mentioned General Motors previously but I think they are going to have to move the market somehow on these trucks and I think incentives will be a great way to do that.
Darren Kennedy - Goldman Sachs: Thank you for taking my questions.
Earl Hesterberg: Thank you.
Operator: Our next question comes from Richard Kwas with Wachovia. Please go ahead.
Richard Kwas - Wachovia: Hi, good morning gentlemen.
Earl Hesterberg: Good morning, Rich Kwas.
Richard Kwas - Wachovia: Earl, could you discuss your outlook for the luxury market for the remainder of the year. Luxury sales were down in the first quarter and I would suspect that you had some pressure on grosses there as well. What’s baked into the guidance for the rest of the year?
Earl Hesterberg: That is correct Rich. We have seen, this year in the first quarter, it was the first time we have seen kind of a notch down in the luxury business even in the strong markets like Houston. I don’t want to overstate and say it’s bad or anything like that because it’s not, but I think even if you look at luxury goods outside of automotive, you have read that even luxury products in general have started to be impacted by the economy in the US. I think it’s exacerbated particularly for the two German manufacturers owing to exchange rate, they are into an awful lot of pressure from that because that got worse again in the first quarter certainly for the Germans and of course the yen has been an issue too. So we have started to see inventory build in these luxury brands. Sales were down a notch. It’s still a very good business. It’s still the best business when in our business. So I don’t want to complain, that wouldn’t be valid, but it’s down a notch too and I think it’s going to -- there is going to be pressure on that which puts pressure on their margins and pressure on their volume a little bit. The other thing that happens would be luxury brands when you go into this market or you have been a year or so with declining used car values is you see eventually lending institutions take hits on the residual values. This has happened in history before but there is an awful lot of vehicles out on lease, not as many as there might have been in the mid-90s or whatever, but, the entire breadth of our business gets hit and it’s now seeped into the luxury car market volume grosses, lending, meaning leasing for a lot of these people. They are going to have to be more careful about residual values on leases and things like that. So it is now across the board with all the brands. So we would expect year-over-year performance data on luxury brands this year, volume growth and so forth not to be quite as good as last year and that is inherent in our forecasting and guidance.
Richard Kwas - Wachovia: Okay. And then John’s comment earlier about the lending environment seemingly stabilizing a bit; John, do you think that the lease, the residual impact in luxury has been factored into the lending institutions or do you kind of view that as a potential risk as we proceed with the year?
John Rickel: Yeah, Rich it’s John. That could well be a risk as you going forward. If Earl’s right and that they start to take some residual hits, the kind of the normal characteristic is that they’ll react to that, so that is I guess a potential risk.
Richard Kwas - Wachovia: Okay, and then looks like the Boston market lease as a percentage of revenue was up a little bit year-over-year. I know that was a worrying point for you heading into the year. What are the trends in that market and how do you feel about your cost structure there?
Earl Hesterberg: The northeast of Raleigh as you know is higher cost than much of the US and starts with rents and what you have to pay people and so forth. We are very powerful group as a dealer group within that market, so we were able to hold our volume but there is as much or more margin pressure there as there is just about anywhere other than perhaps California. So it’s a huge Toyota market. We have four Toyota dealerships. So we are holding out our sales up but we are under margin and cost pressure there, I can assure you.
Richard Kwas - Wachovia: And then finally on used vehicles with Manheim Index coming in, what are you doing? Are you offering less on trades and is that I guess; a, reducing the inventory that you get at retail and then is that forcing you to go to the auction or -- and then how are you adjusting the truck car mix on the used side?
Earl Hesterberg: Rich, that’s one of the hardest parts of the business equation right now. I think Randy brought it up earlier -- particularly in Texas and Oklahoma, if you don’t trade for trucks and SUV, you don’t sell new cars. So we are still having to take them. A lot of deals aren’t getting done because the owners just are upside down and they can't believe what their price values of their trades are but now we still take them and that’s a lot of the retail margin pressure you are seeing certainly from us is our dealerships want to retail those used vehicles after they take them on trade before they have to take them to the auction in 60 days and take a hit on them there. So we are probably retailing out of some trucks and SUVs more quickly than we might have a year ago or two because of fear of what will happen if we wait another month and have to take a wholesale hit at the auction. So that’s all part of the dynamic and that’s also the dynamic of why the domestic manufacturers or Toyota were trying to sell big trucks, full size pick-ups and SUVs need incentives in the market. It’s not to re-price their vehicles as much as it is to help get some of these trade-ins done and frequently, the people trying to trade-in are particularly where the domestics that are brand loyal. They are bringing a Ford truck back to a Ford dealer, Dodge truck back to a Dodge dealer trying to get into something new, maybe a crossover and maybe something more fuel efficient, maybe it’s just a new truck, but there is just -- the economics don’t work without incentive help from the manufacturer.
Richard Kwas - Wachovia: Okay, and then lastly on the used vehicle side, are you overweight trucks right now and do you expect if you are, how soon do you think you can get right size the inventory mix?
Earl Hesterberg: We overweight trucks just because that’s what’s being traded in across the country and if you are doing new car business, you have got plenty of trucks and in terms of why we like the stock for retailing, what we would like to have cars. So and Randy has got some data but the trucks are going to keep coming in. The idea is we will liquidate the trucks more quickly than the cars.
Randy Callison: Hi guys, its’ Randy. Our day supply of trucks at the end of the quarter actually was only 32 days and that’s down four days from the fourth quarter where we were at 36 days and only up two days from the first quarter of ’07 where we were at 30 days. From a days supply basis, we are in pretty good shape with used trucks.
Richard Kwas - Wachovia: All right. Thank you so much.
Earl Hesterberg: Thanks Rich.
Operator: Your next question comes from Rich Nelson with Stephens.
Rich Nelson - Stephens: Thank you. Good morning guys.
Earl Hesterberg: Good morning Rich.
Rich Nelson - Stephens: Wanted to follow up on SG&A. The same store SG&A was up 90 basis points and you have to consolidate it. SG&A was down 100 basis points, what accounts for the difference?
John Rickel: Rich, this is John Rickel. I mentioned in my prepared remarks, the consolidated includes the lease termination charge from first quarter 2007, so if you pull that out from the consolidated levels, consolidated SG&A would also be up.
Rich Nelson - Stephens: Got it and how about rent expense on a consolidated basis in each period? Do you have that number as a percent or gross?
John Rickel: I think we do have it, we are trying to find it Rich, hang on.
Earl Hesterberg: Rich, this is Parker, the rent number for first quarter of ’08 was rent facility cost was $23.3 million which was about flat from the first quarter of last year, those are on a same store basis.
Rich Nelson - Stephens: Okay. And the CapEx programs at the OEMs, particularly some of the front nameplates are requiring of the dealers. Given the week environment, how do you view that? Is there an opportunity to push back some of those programs or --?
Earl Hesterberg: Rich, this is Earl. There is certainly -- it’s certainly become more problematic this year than it was last year. None of them seem to have recognized the economic situation or have gotten any less desire for a new facility than they had last month or last year. So that continues to be a pressure point for some brands and some places for us. We still have a projection of about $60 million of CapEx this year which is a lot of money and we still have some projects we needed to carry through. In many cases, they will give us additional service capacity which is part of our strategy and is a critical part of the business now but that pressure mounts as we continue in a soft market and I wouldn’t -- that’s insignificant.
Rich Nelson - Stephens: On the acquisition front, you talked a bit about multiples and the US not really changing. Is there any changes occurring in the UK in terms of candidates?
Earl Hesterberg: No Rich, same there. Your multiples are not inside there as they are here but there hasn’t been any softening. The UK market of course overall has held up better than the US although experts continue to predict it’s going to turn down. It’s probably a little more flat. It’s not really strong but compared to the US, it’s certainly remaining stronger. There is a lot of caution there that it could get a little softer as we go through the second half of the year but in terms of multiples, there has been no change there either.
Rich Nelson - Stephens: And what news here of acquisition targets for 2008 in terms of revenue and does the debt level of 49% at the capitalization provide any limitations?
John Rickel: Rich this is John Rickel. The target remains unchanged at $300 million of acquired revenues in the year and we prefer to look at it really as excluding the real estate debt and then on that basis we are at 41%. We made good improvements during the quarter so now the balance sheet continue to have plenty of capacity to deliver at least that level of acquisition if not more.
Rich Nelson - Stephens: Great thank you good luck.
John Rickel: Thank you.
Operator: Our next question comes from Matt Nemer with Thomas Weisel Partners. Please go ahead.
Matt Nemer - Thomas Weisel Partners: Good morning everyone.
John Rickel: Good morning Mack.
Matt Nemer - Thomas Weisel Partners: My first question is given the inventory situation that we are in, should we expect gross profit dollars per unit to have a sharper decline in the second quarter based on trying to exit out of similar that extra inventory?
John Rickel: You stump the band there Matt, we are looking at each other. Well, I guess I’ll take the first stab Matt. We have to fight awful hard to keep our new car margins from going any lower than the 6.4 they were in the first quarter. Now the market is going to put pressure on us. I am hoping manufactures will help us with a little more retailing support in terms of incentives, but we certainly have to do our best to resist these margins getting any lower.
Matt Nemer - Thomas Weisel Partners: Okay and then I am just wondering if you have done the math on the impact of least buyouts on the SG&A to gross profit ratio on a consolidated basis.
John Rickel: Matt this is John Rickel, you are looking for what compared with last year or --?
Matt Nemer - Thomas Weisel Partners: Yeah, just the year over year SG&A and gross profit assuming that you did not do any lease buyouts during the year.
John Rickel: Yeah I don’t have that in front of me, that’s something I can get back to you with.
Matt Nemer - Thomas Weisel Partners: Okay and then I guess on that same topic do you have -- I may have missed this if you mentioned it but do you have personal and add expense to change in those lines during the quarter?
Lance Parker: This is Lance Parker. Personnel on the same store basis was down about $3.7 million quarter-over-quarter, advertising with down 1.8.
Matt Nemer - Thomas Weisel Partners: Great and then lastly in the UK environment is the plan -- should we expect anything big there or are you still trying to sort of access our market development plan?
John Rickel: We’re continuing to look at acquisitions there Matt. I would -- don’t think you can expect anything big because that whatever it is we would consider that would still be within the $300 million annualized revenue guidance we gave. So now we are continuing to look at deals there and we continue to intend to expand our presence there, but not in terms of any block buster acquisition at this moment.
Matt Nemer - Thomas Weisel Partners: Just to go back to expenses given the sharp decline that was a little bit unexpected in California and may be some of your other markets, does that change your game plan here in the second quarter? Are there any actions that you are taking in Q2 kind of given what you are seeing in Q1 that you can share with us on the expense side.
John Rickel: Generally, I would say no Matt. We are still executing the exact same plan we laid off November of 05 or whenever that was. Now there are some tactical things like our truck inventory getting out of balance and it needs to be handled in the second quarter, but all these things, the F&I, the used cars, the parts and service efforts, this is all still just executing what we intended to do for quite some time. So, I think we need to do more faster because of the pressure on revenues and gross profit but if there is in any big restirring in the shift required here.
Matt Nemer - Thomas Weisel Partners: That’s all I’ve got thanks very much.
Earl Hesterberg: Thanks. Operator: Your next question comes from Doug Carson with Bank of America. Please go ahead.
Doug Carson - Bank of America: Hi guys can you hear me all right.
Earl Hesterberg:
Doug Carson - Bank of America: Great thanks. Just a quick question on the 18 million of bonds you bough back. In Q3 I think you also bought some of these eight and a quarter bonds, all -- 80 million left. Can you just maybe walk me through what some of the decision were that you made to why you are buying those bonds back and within the credit agreement does it give you more flexibility to increase your purchases if you chose to?
John Rickel: Yeah Douglas, this is John Rickel. I mean basically what we have taken a look at is the right balance on the balance sheet and what the opportunities are and the cost of capital involved. We saw some prices in the first quarter when their credit markets really started to get dislocated that we are very attractive on the bonds and made the decision to grab then when they became available. Really nothing more specific than that. The other fact that we look at is our more restricted covenant on restricted payments are tied up on those eight and a quarter bonds. So certainly being able to take some of those out of the attractive prices that gives us potentially more flexibility as we go forward on that aspect.
Doug Carson - Bank of America: So on the credit agreement -- allows you to buy back more those bonds if you needed to or wanted to?
Earl Hesterberg: Yes there is no limitations on you know what we did buy in the market on the bonds.
Doug Carson - Bank of America: Okay great thanks. That was it for me.
Earl Hesterberg: Doug, thank you.
Operator: Our next question comes from Jonathan Shteinman with Morgan Stanley. Please go ahead.
Jonathan Shteinman - Morgan Stanley: All right thanks. Good morning everyone.
Earl Hesterberg: Good morning Jonathon.
Jonathan Shteinman - Morgan Stanley: Just a few follow up here especially on the used side with your inventory. Can just comment on the 32 days -- I’m sorry 29 days of used -- on the truck side do you feel like -- I mean not all trucks are created equal here, so is it extremely tilted toward four, five pickup trucks and large SUVs and is there a big increase if we just looked at those two categories or is it more representative overall?
Earl Hesterberg: I don’t think with that granular leased it our level here Jonathon I’m being able to tell you by model what we have. Now we could go to our computers in a half or hour and dig it out, but by being a Texas, Oklahoma centered company a lot of our trucks are always going to be full size pickups and SUV and that’s what runs those markets, but being able to comment on two or three to four days on used vehicle out of a 29, 30 day supply, I don’t think we could give you any meaningful feel right now.
Jonathan Shteinman - Morgan Stanley: Okay yeah that would be interesting data to get if you are able to and I don’t know if you have a feel for this or if your GM’s talk about it, but it seems like your overall level is fairly inline but do you have a sense on some of the private cap guys you compete with on the U side, do you feel is that they are extremely over inventoried on those products because we only get sort of a deaf stuff trying to go to the auction channel.
Randy Callison: Jonathan this is Randy I think we are all facing the same challenges. As you know we have very aggressive day supply policy and in time periods when we have to either retail a car or wholesale it, I don’t know that all private caps have those same policies but then they could be longer I don’t really know.
Jonathan Shteinman - Morgan Stanley: Okay, John, just a housekeeping item, I may have missed this, but did you comment on what the other income amount -- I mean not the amount, but what constituted that amount in the quarter?
Earl Hesterberg: Yeah, within the other income, probably the largest single one item within there Jonathan was a small gain on those repurchase of those bonds we talked about, about $350,000.
Jonathan Shteinman - Morgan Stanley: And the other $400,000 or so would be what?
Earl Hesterberg: Just nits and nats.
Jonathan Shteinman - Morgan Stanley: Okay and I guess the last question maybe strategically. Earl, is there anything on the SG&A side as you are going through a difficult environment now, that you’ve learnt from when we come out on the other side of this mess of some expenses that you think don’t need to sort of proportionately either on the advertising side or some other line items. Just anything that you have learnt by going through a tough period that you wouldn’t have to lay it back as you get into better times.
John Rickel: Yeah Jonathan, this is John Rickel, let me take a first stab at that and then you can throw something at me. I think some of the stuff we have done on advertising on about getting smarter, about where we were placing it, about moving it to you know electronic, to email, I don’t think that shifts back, I don’t that’s necessarily volume driven. Certainly the purchasing initiatives that we are putting into place that leverage should only get better as we go forward. So I think there is a number of the expense actions that we are taking that will hopefully stay with us now when things turn up and it’s actually you know potentially one of the big bright sizes when the volumes and the revenue comes back, the expenses doesn’t have to come back in at the same pace.
Jonathan Shteinman - Morgan Stanley: Okay, terrific thank you.
Operator: And Mr. Hesterberg, there are no further questions at this time, please continue.
Earl Hesterberg: Thanks to all of you for joining us today. We are looking forward to updating you on our progress on our second quarter earnings call in July. Thanks and have a nice day.